Executives: Peter Ruzicka - CEO Jens Staff - CFO
Peter Ruzicka: Good morning, everyone, and welcome to Orkla's third quarter results presentation this morning. I'm very happy to see that we continue to see improved progress in our Branded Consumer Goods area, but also other quite big things has happened during this third quarter. So let's just have a look at some of the highlights in the quarter. This quarter, we -- and also year-to-date, we report an organic growth of 1.2%, which is more or less in line with the market growth in the categories and in the markets where we operate. I'm happy to see that we are matching the market growth, but I'm not happy to see that the market growth in general is so low and it has slowed down. We saw that at the end of 2016 and now also into so far in 2017. I'm also very happy to see that we deliver on our cost targets and our cost programs, reducing SG&A cost but also total cost in our supply chain throughout the whole Branded Consumer Goods area. So we deliver our -- on the cost plans according to our targets. However, we have seen also -- as you saw in Q2, we have seen a continued improvement or increase in raw material prices that has a negative impact on our EBIT and EBIT margin. As you know, we have -- in our two biggest markets, Norway and Sweden, we have some windows where we can adjust prices or increase prices. And of course, we have taken actions to increase prices to compensate for increased raw material input cost, but there is some natural time lag. But historically, we have shown and we have proven that we are able to compensate for increased raw material prices. But we will come back to this a little bit later. Also during the third quarter, we -- first of all, we announced 10th of July that we sold -- we have agreed to sell our 50% share in Sapa to Norsk Hydro. And the transaction was completed 2nd of October this year. And this is included in our Q3 figures, and Jens will come back to more details about it. Later today, we will host an EGM, where we propose to pay out a special dividend of NOK5 per share, and I would guess that, that will be approved today in the EGM. But even after paying out a special dividend of NOK5, we have a very solid balance sheet in Orkla, and our main priority is to find attractive assets to buy that strengthen our Branded Consumer Goods area, mainly in the markets where we already have a presence, acquisition candidates where we can strengthen our position and also realize cost and top line synergies. Earnings per share in the quarter increased by 11% from NOK0.88 last year to NOK0.98 this year. What is also somewhat special in Q3 is that we also had this share employee program that we successfully completed in the third quarter. This time, more than 2,000 employees had signed up for the program, employees from 17 companies. And actually, the program was 67% higher than we have seen earlier years. And I'm very happy to see that our employees see our share as an attractive asset to hold. However, there is a negative side of this. Since the shares are sold with a discount, that also implies a cost in our figures. But Jens will also revert to this later in his presentation. Then if we go to organic growth. As I've said, we have 1.2% organic growth in the quarter but also year-to-date and quite big differences from business area to business area. I'm very happy to see that our largest business area, Orkla Foods, is now really back on track with very solid growth performance. And this 2.9% is based on volume growth in all markets where Orkla Food is present; some very strong figures. Also, Orkla Confectionery & Snacks delivers organic growth but, as you can see, somewhat slower than what we have seen in the past -- or the beginning of this year. We have very strong growth in Estonia, Sweden and Finland; and as expected and also as we announced in Q2, somewhat slower growth in Norway due to late launches and promotion programs. Orkla Care experienced organic growth in all business units, except House Care or painting tools. And that's -- they have a slight decline. That is mainly due to two factors: one is that we lost a contract in -- a private-label contract; and the second reason is because of quite bad painting -- outdoor painting weather towards the end of Q3. Which also leads me to the last business area, Orkla Food Ingredients, with somewhat flat development despite that we have exited some both private-label contracts and industrial contracts with low profitability. But sales in Orkla Food Ingredients was also hampered by quite bad ice cream weather towards the end of Q3, which also have seen by other ice cream producers in Europe. So overall, I'm happy to see that we are growing at least in line with the market, and we are actually gaining market shares in some important categories. And if you compare our top line organic growth with our peers in Europe, I think we have a quite strong performance. I'm also very happy to see, as I've mentioned, that we deliver on our cost programs. And I think this figure should be quite familiar to all of you now; it's the -- my black over red. But I'll just repeat again, the black is organic growth, and red is development in fixed costs. And we have an absolute requirement that we should have a healthy gap between organic growth and fixed cost over time. And I'm happy to see that we managed to continue with a healthy gap also in Q3 and year-to-date. However, our margin and our EBIT is impacted by substantially higher raw material prices, which is visible in our EBIT and EBIT margin. In the quarter, we have a currency-neutral growth in EBIT of 4.6%. And we have underlying EBIT improvement of 20 basis points.  And as I said, we have experienced substantially higher raw material prices. And also, they continued to increase more than we anticipated when we made our price adjustment, price increases in the price windows that we have, especially in our main markets, Norway and Sweden. But I am sure that with our cost programs that we deliver on as well as the price increases that we have initiated the last couple of months, we will see an improvement in EBIT and margin going forward, both towards the end of this year but also into 2018. Jens will come back to more details, especially about the margin development, which is important to understand in this quarter. So then I will just give the word to Jens for more details on the financial performance.
Jens Staff: Thank you, Peter. And as Peter mentioned, we continued to see progress both within the Branded Consumer Goods part as well as the investment side this quarter. Let's look more at the details of the performance. Let's start by looking at some details and important items on the P&L. Improved adjusted EBIT and less restructuring cost is the main drivers behind the EPS growth that we see of 11% from continued operations. EBIT growth was related to both BCG and Orkla Investments, as I said. And the third quarter EBIT was negatively impacted by costs related to the share employees' program. We normally run this program every year, but last year, we were prevented from arranging it. This year's program was, therefore, larger in order to compensate for the canceled program last year. As Peter mentioned, the number of shares bought increased by 67%, and that was significantly more than we expected. This is, of course, a good thing. However, costs associated with the program increased and amounted to roughly NOK 40 million in Q3. All that NOK 40 million, NOK 25 million is booked within the Branded Consumer Goods area. We still experience costs related to restructuring in the supply chain, but as we mentioned in Q2, we also expect to see some gains on this line item, other income and expenses, going forward. In Q3, we sold a factory in Norway and we exited industrial marzipan business in Italy, which more than offset restructuring charges this quarter. Associated companies contributed negative due to weaker results in Jotun, and I will come back to more details on Jotun later on. You also see the effect from the sale of Sapa of -- in the discontinued business. And we report a gain in the quarter of NOK 4.34 per share, resulting in an EPS of NOK 5.34. Let's turn to the performance in the Branded Consumer Goods area, starting by looking at the top line developments. Revenues in Branded Consumer Goods grew by 4.4% in the quarter, and as you can see, M&A was the main contributor to this increase. This was mainly related to two months of the Harris acquisition, the Riemann acquisition in Care and some acquisitions done within the Food Ingredients area. Organic growth was 1.2%, largely related to price but also volume growth in three out of four business areas. Before we look at the business areas more in detail, I would like to give you some more detail on the margin development. As you saw from Peter's presentation, we had a flat margin development in the Branded Consumer Goods area in the quarter, with a 20 basis points increase, adjusted for dilution effects and M&A, 20 basis points underlying improvements. And here, you can see the split of these 20 basis points between variable costs and what we call other costs. Other costs include both SG&A, fixed production costs and advertising.  As you can see from this graph behind me, we delivered on our cost programs with an 80 basis points margin improvement in Q3 and 50 basis points year-to-date. And I think this is especially strong given the NOK25 million from the employee share program in the Branded Consumer Goods area that we didn't have last year. Advertising investments is roughly in line with last year's quarter and year-to-date as a percentage of sales.  Looking at this graph, however, we lagged behind in offsetting input costs to our customers, as also Peter mentioned. And this is here illustrated by a drop in the variable costs. The variable costs in this calculation is a combination of price management, mix effect and efficiency on the production line. The main negative driver on this variable cost in 2017 has been increased prices in some raw materials. We have increased prices in some markets but have to take further pricing actions going forward to neutralize this picture. As I mentioned, we see effects from our cost programs, both in supply chain but also by cost programs within rationalizing SG&A. Since we started this supply chain efficiency program, we have decided to close down 27 factories, of which 21 are closed down, and focus on fewer and larger factories. This has resulted in approximately 36% increase in average revenue per factory. Within SG&A, we have also done a lot in 2017. We have merged several smaller companies and now continued to centralize back office functions. In addition, Orkla Care has announced several initiatives within SG&A, mainly in Norway. So as I showed on both this slide and the previous one, we are doing a lot within costs, and these cost actions are showing good progress. Let's now turn to the four business areas and look at them more in detail and always start with the largest one, Orkla Foods. As Peter said, we are now glad to see more positive quarter from Orkla Foods after a challenging start of the year. An organic sales growth of 2.9% was driven by good volume increase in almost all markets. High campaign activity, for instance, from pizza in Norway contributed to the growth. In addition, we saw a rebound in India after a very strong market uncertainty in conjunction with the GST tax that was implemented in Q2. As communicated in Q2, we see a significant increase in several key raw materials, especially in [EU] prices on dairy and meat. And this trend has increased into Q3, which put continued pressure on profitability. Price increases was implemented during the quarter, but further pricing actions are required to offset input costs. Despite this, Orkla Foods delivered 40 basis points of margin growth related to cost actions. Let's look at Confectionery & Snacks. As expected, Confectionery & Snacks delivered lower growth than the first half year as the campaign program was front loaded in the largest markets, Norway. All other markets delivered continued good growth, and overall growth ended at 1.3%. Margins was roughly flat compared to last year. We are now facing tougher comparisons on margins as we are more than 1 year into the restructuring program of Latvia. And we continue to see positive effects from cost savings in supply chain within Confectionery & Snacks, but this was, however, offset by product mix effects related to innovations and campaigns. Even though we see a somewhat soft Q3, the year-to-date performance in Confectionery & Snacks have been very strong, with a 2.8% organic growth and 110% -- 110 basis points margin improvement. Let's look at Care. Orkla Care delivered a broad-based organic growth in the quarter and totaled 1.3%. Revenue growth ended at almost 9%, while EBIT growth came in at 6.5%. The EBIT growth was a combination of organic improvements and contribution from M&A. And as Peter also mentioned, the M&A -- regarding M&A, the integration of Harris with our existing U.K. House Care business has been challenging. The synergy realization is going according to plan. However, the company has lost a private-label contract with a larger customer and have also experienced some sales decline as a result of the internal focus during this merger, and this is not unusual when integrating companies. Looking at another acquisition, Riemann. Riemann is producing sunscreen and deodorants. Riemann is performing very well but have a seasonally low third quarter, which dilutes the EBIT margin. You don't sell a lot of sunscreen when it's not sunny outside. Adjusted for M&A, EBIT margin in Care improved as a result of implemented cost actions in the second half. Let's turn to Food Ingredients. Food Ingredients delivered 7% reported sales growth and 5% EBIT, driven by several add-on acquisitions, while organic sales growth and margins were flat in the quarter. We had a strong sales growth within several of the main categories in Food Ingredients in Q3, like bakery ingredients. This was offset by the earlier communicated losses of industrial contracts and the exit of some low-margin private-label contracts. In addition, we experienced a weak quarter for ice cream ingredients due to poor weather in Europe, and that is compared to a very warm and sunny Q3 last year. This weaker sales in ice cream ingredients also, of course, then hampered margins. On the positive side, we see effects from cost actions that we have initiated within a couple of companies in Food Ingredients, as we have previously speaked about. Let's now move onto the Investments portfolio. The main message from Orkla Investments is, of course, the sale of Sapa. The transaction was announced in July, was approved -- the transaction that was announced in July was approved by the competition authorities in the end of September, and Sapa has been booked at the line item discontinued operations as from Q2. Year-to-date, we had a profit of NOK 5 billion on that line item in the P&L. And this is, of course, as you know, a combination of profit and gain from the transaction. Positive cash flow effect from this transaction will be visible in Q4. Let's turn to the fully consolidated business. Hydro Power delivered a very strong quarter due to higher power prices with somewhat flat volumes. We have done a smaller transaction within the real estate portfolio, where we have sold a Norwegian industrial asset. Regarding Jotun, profits were weaker than last year. Jotun continues to deliver volume growth, driven by good performance within Decorative Paints. Revenues were also up in the quarter but less than volume due to changes in sales mix and negative currency translation effects. Shipping and offshore markets remain challenging. Weaker markets, in a combination with increasing raw material costs, also hampered profitability in Jotun. Raw material costs have had a significant impact on the year-to-date profitability and are expected to increase further in 2017. To counter this negative raw material effect, price increases have been implemented, and there is a continued strong focus on cost efficiency in Jotun. Let's finish off by looking at the cash flow. Here, you can see the main drivers behind the operating cash flow from cash flow development excluding financial investments. And as you can see, all levers contribute to a strong year-to-date cash flow compared to last year. I've already been through the main drivers of the profit improvements. And as you know, the restructuring program within supply chain requires a somewhat higher CapEx level than historically, and we expect this trend to continue for some years. And this has, of course, resulted in gradually higher depreciation. CapEx level will, however, vary from year-to-year. And so far in 2017, we have a slightly lower CapEx than in 2016. Regarding working capital, we seasonally tie up working capital during the three first quarters and then released during Q4. This year, we have tied up slightly lower than last year, mainly related to improved performance. So all in all, this is a strong cash flow so far this year.  Regarding the financial position, this is strong and is strong at the end of Q3 but, of course, as you know, significantly stronger today as we have received the proceeds from the Sapa transaction at the beginning of Q4. Adjusted for Sapa proceeds, we have a net cash position of almost NOK4 billion. As you know and as Peter mentioned, we host an Extraordinary General Meeting later today, where the board will propose to pay out a special dividend of roughly NOK5 billion to be paid out on November 3. So with that, I leave the floor back to Peter for his final remarks.
Peter Ruzicka: Thank you, Jens. So let me now just sum up some highlights from the quarter. As we have shown, we continue to grow organically and at least in line with the markets where we operate, as is our long-term target. And we have a quite strong performance organically versus many of our European peers and the multinationals' sales in Europe. We also continue to realize cost improvements according to our plans, both when it comes to SG&A and also in supply chain, in production, factory footprint and so on. However, our EBIT is hampered and EBIT growth is hampered by substantially higher raw material prices. And as mentioned several times today, we counteract this by price increases, but there is a natural time lag when continue -- when raw material prices continue to increase. And also, the raw material price development has also led to us having an EBIT both in total figures but also EBIT margin lower than what we anticipated and what we have as a target so far this year. Going forward, we continue and we will continue to see quite soft market growth. We don't expect a huge jump in the market but somewhat continue on the somewhat the same level as we see today. And we also are facing more uncertainty when it comes to raw material prices going forward. But we will continue to realize effects from our cost programs, and the price increases we have done will materialize in Q4 and into 2018. And also, of course, during the quarter, we have sold and finally sold our 50% share in Sapa.  Before I go to the Q&A session, I would just like to show you some examples of how we work as One Orkla, how we can realize synergies not only on cost but also on innovations and cross country launches. And the first example is Smash!, and I think all the regions know this product quite well. It's a very famous and loved product in Norway. This was launched in Sweden some weeks ago. It's the same product, the same packaging but actually under a local brand, OLW brand, which is our snack brand in Sweden. And this is actually our first entry into the chocolate confectionery area in Sweden from Orkla. And we just launched two products: it's this bag; and it's also a bar. And I think this is a good example of how we take a successful [one] market and introduce it in a new market, in this case, more or less the same packaging but under the strong local OLW brand in Sweden. And we have had, so far, a fantastic start. During the first five weeks after launch, we have sold almost 70% of the anticipated total yearly volume. So our main challenge now is to produce enough, and that's really, really nice. Also, great interest both from retailers but also from consumers. And we have received very good listings in Swedish retail. Another product I'm also very proud to show you is a product from Orkla Food Ingredients. It is Naturli', which is our product range of organic vegan products mainly in Denmark but also launched gradually in other markets. And this is Naturli' Smørbar. It is a plant-based spread. It's organic, and it is, as I said, plant-based, and it's gluten-free, and it's dairy-free. And actually, this product received three international awards for its great taste and for naturalness: one was in IFE award in London in early this year; also received an award in Paris in the Wabel Award or in the Wabel Fair; and last, in Germany, in the Anuga Fair, also received first price for this innovation. I think this is a product that also delivers on the consumer trends that we see, that we have been talking about earlier. It's about the organic, it's vegetarian, it's free from, it's natural, so it meets a lot of the consumer trends that we see are important for our business going forward. And finally, we also show you this -- the product Klar, which is a Home & Personal Care product range launched first in Norway. You see the range there. And it will be launched in Sweden in 2018. Formulation of these products are mainly plant-based. Products are free from unnecessary chemicals and colorings, nonallergenic, of course. The products are produced with electricity from renewable energy sources, in this case, wind power. The plastic bottles are, of course, 100% made of recycled plastic. The concentration formulas -- or the formulas are very concentrated; that means that bottles can be smaller and leads to less waste. And of course, very good cleaning power, which is really essential when it comes to Home & Personal Care categories. And this product is developed based on our consumer insights that we have seen in our main markets, especially now in Norway and Sweden, very strong desire from consumers to have a environmental-friendly product to do your house and home cleaning; but also a requirement or a wish from our big retailers, asking us for developing and introducing such a product because there are no such products on the markets. So I'm very happy about this product. It was launched now in September in Norway and will be launched next year in Sweden. And we have -- as you see, we have a whole range here on the stage and in the goody bags, takeaway bags. You will also receive a sample of the products. So with that, we will go to the Q&A session. Okay. No questions? Yes, there's a question up here.
Unidentified Analyst: Just about one year ago, you announced that you start selling in China from Ali platform. You remember that, just one year ago? Can you say something about how that -- is it on track in China?
Peter Ruzicka: Yes, we opened a web store on the Alibaba platform -- or a Tmall platform, which is a part of Alibaba, with a limited range of Orkla products. This was, I would say, in a way, kind of a test for us to see what kind of products are working and what are not working. Some products are working very well. For instance, Möller's Tran Cod Liver Oil. And we are continuing, of course, this development, and we see a good growth but from -- of course, from a lower level. But we will continue that sale on the Alibaba platform and other marketplace platforms. Any other questions?
Unidentified Company Representative: Yes, it's from the web.
Peter Ruzicka: Yes.
Unidentified Company Representative: And we have two questions from John Ennis from Goldman Sachs. The first one is that you showed a slide with 140 basis points reduction in fixed costs since 2014. Over the same period, reported margins have not improved by the same magnitude. So can you explain what has held margin back over this period and when you would expect to see the fixed cost reduction flow through to EBIT margins?
Jens Staff: As you know, the reported margins from that period have been affected by, for instance, the distribution agreements and M&A effects. So depending on the level of M&A or whether or not they are dilutive or not, this will evolve accordingly. And with that, I mean, if we don't have any M&A going forward, it will gradually eliminated that effect, and then the underlying effect will be more visible. So it's dependent on the level of distribution activities and the level of margin that the M&A companies that we do have. And then as I showed, the underlying improvement in margins is quite clear. What have been the case now this year and also, to a certain extent, last year because of then -- last year's currency effects, this year is affected by raw material cost increases, which we haven't yet been fully able to offset. We have taken price increases.  As you know, there are certain windows of opportunity in Scandinavia or at least our biggest markets, Norway and Sweden. So when you see sharp increases, high volatility that we have seen in certain important raw materials, and given the fact that there are just a few opportunities to do something with it with the prices, then you, of course, by nature, will have some time lag. This time lag, of course, goes both ways. So overtime, looking at this in over more years, it will even out. So I hope -- it was a long explanations, but there's a lot of moving factors. But you know us very well, John, so I hope that this was also a satisfactory answer from me.
Unidentified Company Representative : And John had a second question as well. You'd say -- you said overall Orkla sales performed in line with the market. But by division, how are you performing versus the market?
Peter Ruzicka: Can you please repeat the last part of the question?
Unidentified Company Representative : By division, by business area, how are you performing versus the market?
Peter Ruzicka: I don't have exact figures for that right now, but I'd just like to make some comments around market growth. Because we have approximately -- we have exact figures from Nielsen on approximately 50% of our sales and our markets, approximately 50%. The rest is a little bit guesstimates but also inputs from our companies but also from competitors and so on. So it is a little bit guesstimate about market growth, I have to be precise about that. There are big variations from geography to geography and from category to category, and I'm not able now to give an answer how we are developing versus the market in each division. Okay. Any further questions? Okay, thank you for joining us this morning, and let's hope that the EGM will vote for the special dividend later today.